Operator: Welcome to Wintrust Financial Corporation’s Fourth Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following a review of the results by Edward Wehmer, Chief Executive Officer and President; and David Dykstra, Senior Executive Vice President and Chief Operating Officer, there will be a formal question-and-answer session. During the course of today’s call, Wintrust’s management may make statements that constitute projections, expectations, beliefs or similar forward-looking statements. Actual results could differ materially from the results anticipated or projected in any such forward-looking statements. The company’s forward-looking assumptions that could cause the actual results to differ materially from the information discussed during this call are detailed in the fourth quarter 2018 earnings press release and in the company’s most recent Form 10-K and any subsequent filings on file with the SEC. As a reminder, this conference call is being recorded. I will now turn the conference call over to Mr. Edward Wehmer.
Edward Joseph Wehmer: Good morning, everybody. Welcome to a snowy, wintery mix Chicago for our fourth quarter earnings call. With me are, as always, are Dave Dykstra; Kate Boege, our Legal Council; and Dave Stoehr, our CFO. We will conduct the call under the same format as usual, maybe give some general comments regarding our results. I’ll turn over to Dave Dykstra for more detailed analysis of other income and other expenses and taxes, back to me for some summary comments and thoughts about the future, then we’ll have time for some questions. On the earnings front, net income was $79.657 million for the quarter, down from the previous quarter, but up from last year’s $68 million – almost $69 million, so up 16% – about 16% from last year, down 13% from the year before. On a year-to-date basis, our $343 million, our eighth consecutive year of record earnings, up from $258 million, up 33%. Earnings per share were $1.35 in a quarter, down from $1.57, but up from $1.17 the previous year and $5.86 for the year, up from $4.40, or again 33%. On an apples-to-apples basis, which we like to look at it, pre-tax income for the quarter was up close to 12%, $108 million versus $96 million. For the year, it was up 18%, so notwithstanding we hadn’t had a tax break, we’d still be reporting record year-end numbers. Well, if it wasn’t for the last few weeks of December, we would have been able to report our 12th consecutive record quarter of earnings. Mark – market volatility took a toll on our results for the quarter. Notwithstanding these events, our core business performed extremely well and we were very well-positioned for 2019. As indicated in the press release, our fourth quarter results were negatively affected by – on a pre-tax basis by $8.5 million charge of mortgage servicing rights, unrealized loss on equity securities of $2.6 million, $1.1 million loss on Canadian foreign exchange, $1.06 of acquisition expenses, so approximately $14 million of negative adjustments pre-tax affected earnings. This coupled with other factors in the mortgage business, including seasonal reductions in volumes and market-driven margin issues account for the majority of the reduction fourth quarter income versus third quarter income. Dave will talk to you all about this in detail. If you look at the income statement, you’ll see the most of the difference in the quarter took place in the other income section. This had negative effect on our net overhead ratio for the quarter, as you can imagine, taking it to an unacceptable 1.79% backing out the quarter’s extraordinary items brings it closer to our goals. On the positive front, our FTE margin increased 2 basis points in the quarter to 3.63%, which coupled with an increase in average earning assets of $581 million, resulted in net interest income increasing $6.5 million during the quarter. A little more on the margin. Earning asset yields were up 13 basis points to 4.58%, while net cost of funds, including the free funds contribution was up 11 basis points. It should be noted that our acquisition of CDEC, Chicago Deferred Exchange Corporation had minimal effect on fourth quarter margin. CDEC was acquired in mid-month December. By year-end, we had transferred $1.1 billion of CDEC low-cost deposits onto the balance sheet. With those deposits, we’ve paid close to $700 million of much higher-priced institutional money, $75 million of much higher-priced brokered deposits, and $200 million of Federal Home Loan Bank advances. As mentioned, this had minimal effect in Q4, though it can be expected to help our cost of funds in a meaningful way in the future. The CDEC business and related deposits, which we believe we can grow in the future, coupled with mid-December’s rate increases other than the notorious 10-year rate and our continued loan growth bodes well for increasing margins in the immediate future. It should be noted that period-end loans exceeded fourth quarter averages by over $650 million, gives us a nice head start and boding – it’s head start for 2019 and bodes well for the net interest margin and net interest income. Part of the tenure collapsing, we’re having like a bit of a headway on our laddering program. We’ve talked about our laddering program earlier, that’s a program where we’ll be extending our investment portfolio to start a balanced way to lower our interest rate sensitivity. The effects of these minor gains is hidden to some extent by our growth. However, we did invest close to $400 million in the longer end of the market. We’ll continue to work in the future to reduce our interest rate sensitivity by the previous mentioned laddering program and by other means. We’ll continue to monitor the rate environment and to continue our investment duration laddering program. Wealth management continues its slow and steady growth. Happy with our results year-over-year. Other expenses are pretty well in line and will be discussed in detail by David. On the annual earnings front, 2018 was a record year for us, eighth in a row, as I mentioned. Net income and EPS were 33% and the pre-tax was up 18%. Our margin increased 17 basis points, or 3.61%, and the net overhead ratio was 1.62% for the year, up from 1.56%. We have been closer to the 2017 number had the fourth quarter not turned out like it did. ROA increased 20 basis points to 1.18%. ROE and ROTE for 2018 were 11.26% and 13.95% from 9.26%, 11.63% the previous year. All in all, it’s a great year, which we’re very proud in spite of the unlucky fourth quarter. On the credit side, credit metrics remained very strong. Non-performing assets decreased $18 million in the quarter, or 0.44% of assets, down from 0.52% at the end of Q3 and 0.47% at the end of 2017. Net charge-offs for the fourth quarter was $7.1 million, or 12 basis points. The year net charge-offs totaled almost $20 million, or 9 basis points, up from 7 basis points a year ago. Reserve coverage stood at 134%, up from the 118% we recorded in the third quarter, but down from the 153% we experienced a year earlier. Three large loans, which were nonaccrual are being resolved as anticipated. There’s one being cleared totally, one expected to clear in late Q1 or Q2 and one on its way to becoming a performing loan. All in all, credit remains extremely good. In the balance sheet front, ending assets grew $1.1 billion in the quarter and $3.3 billion for the year to $31.24 billion. These are increases of 14% and 11%, respectively. The acquisition of American Enterprise Bank in early December contributed $164 million to these totals. American Enterprise Bank is an interesting transaction for us as we did not acquire any branches in the deal, given the proximity of their branches to Wintrust branches. We acquired certain assets and assumed certain liabilities of the bank, but basically no operating expenses. So pretty much the total cost of the deal would be profitable transaction for us going forward. Total loans net of loans held for sale were up approximately $700 million quarter-versus-quarter and $2.2 billion year-over-year, or 11.7% and 9.2%, respectively. American Enterprise Bank contributed $119 million to this growth. As mentioned, most of the growth occurred in December. We start quarter one 2019 with a great head start of over $650 million. Deposits grew $1.18 billion in the quarter and $2.91 billion for the year, translates into deposit growth of 18% and 11% growth. American Enterprise contributed $151 million to this growth. We were excited about our prospects of growing a Deferred Exchange business with our CDEC transaction as these provide a diverse and steady flow of very low-cost deposits. At year-end, CDEC managed $2.4 billion of deposits for customers. $1.1 billion of that was on our balance sheet, the remainder placed to other third-party banks for a fee. These deposits by nature are short-term in duration as the customer needs to get their funds reinvested in three to six months. As such, there can be volatility in aggregate balances, but largely conservative in our reliance on these core posits. And as I said earlier, we do think we can grow this business nicely. Our loan-to-deposit ratio returned closer to the desired range of 85% to 90%, closing 2018 at a little over 91%. Our goal is still getting with that desired range. Now I’m going to turn the call over to Dave, take you through other income, other expense and taxes.
David Dykstra: Thanks, Ed. As Ed noted, the fourth quarter had some unusual volatility with the majority of the impact going through the non-interest income section. So I’ll focus on those areas and then provide a bit of background on the non-interest expense category that experienced an overall decline in total expenses relative to the third quarter of 2018. Turning to the non-interest income section. Our wealth management revenue held relatively steady at $22.7 million in the fourth quarter, compared to $22.6 million in the third quarter of last year and up 4% from the $21.9 million recorded in the year-ago quarter. Brokerage revenue was down approximately $582,000, while our trust and asset management revenue offset that decline by increasing $674,000. Overall, as Ed indicated, we believe the fourth quarter of 2018 was another solid quarter for our wealth management segment, despite the volatility we experienced in the equity markets late in the fourth quarter. Mortgage banking revenue decreased approximately 42%, or $17.8 million to $24.2 million in the fourth quarter from $42.0 million recorded in the prior quarter and was also down slightly from the $27.4 million recorded in the fourth quarter of last year. The decrease in this category’s revenue from the prior quarter resulted primarily from lower levels of loans originated and sold during the quarter and correspondingly, we also had lower production margin on those volumes. The company originated approximately $928 million of mortgage loans in the fourth quarter. This compares to $1.2 million of originations in the prior quarter.
Edward Joseph Wehmer: Billion.
David Dykstra: $1.2 billion of originations in the prior quarter and $879 million of mortgage loans originated in the fourth quarter of last year. The mix of the loan volume that we originated during the quarter was approximately 71% related to home purchase activity, compared to 76% in the prior quarter. So purchase home activity continues to be the majority of the new origination activity. On page 22 of our earnings release, we provided detail compiling the components of the origination volumes by delivery channel and also the mortgage banking revenue, including production, revenue, MSR capitalization, MSR fair value and other adjustments and also the servicing income. So you can look there for further detail on the Mortgage Banking segment. Given the existing pipelines, we currently expect originations in the first quarter of 2019 to be similar to the fourth quarter of 2018. The company recorded losses on investment securities of approximately $2.6 million during the fourth quarter, primarily related to unrealized losses associated with the large-cap equity fund that the holding company has an investment in, which was used for seed money for a proprietary mutual fund. As you know, many large-cap stocks experienced significant drops in value near the end of the year and our holdings, which we’re required to record at market value, were similarly impacted. Thus far in 2019, the funds recouped some of its value as the stock market has rebounded a bit in early 2019. The revenue in the fourth quarter of 2018 for operating leases totaled $10.9 million, compared to $9.1 million in the prior quarter, increasing 19% during the quarter. The increase in this revenue item compared to the prior quarter is primarily related to growth in the operating lease portfolio, as the period-end balances of operating leases increased to $233.2 million at December 31, 2018 from $199.2 million at the end of the third quarter. These amounts relate only to operating leases as capital leases are carried in the loan section of the balance sheet. Other non-interest income totaled $10.6 million in the fourth quarter, down approximately $5.5 million from the $16.2 million recorded in the third quarter of last year. There were two primary reasons for the decline in this category of revenue, including a negative swing of $1.5 million of foreign exchange valuation adjustments associated with U.S. Canadian dollar exchange rate. The current quarter had a negative valuation adjustment of approximately $1.150 million, whereas the third quarter of 2018 had a positive adjustment of approximately $350,000, so a swing of $1.5 million. The currency rate volatility was abnormally high during the fourth quarter. We usually don’t see that much of a change. And again, thus far in 2019, that exchange rate has recovered a bit, but want to see where it ends the quarter at that. Next, BOLI income was down $3.7 million from the third quarter, primarily as a result of $2.2 million death benefit recognized in the third quarter with no similar benefit recognized in the fourth quarter and $1.1 million loss on BOLI investments that support deferred compensation plan benefits that were impacted by equity market returns. I should note that this $1.1 million BOLI loss resulted in a similar reduction in compensation expense during the quarter. In summary, the volatile market conditions near the end of the quarter influenced mortgage servicing rights valuation, equity, security valuations and foreign exchange rates that all negatively impacted our non-interest income revenue amounts. Interestingly, each of these items which are mark-to-market each quarter had positive adjustments in the third quarter, but to a much smaller magnitude. We believe these categories have experienced some recovery in value thus far in the first quarter, but we’ll have to see whether the recovery continues and where they end up at the end of the first quarter. But typically, those swings in value were much smaller. Turning to the non-interest expense categories. Non-interest expense totaled $211.3 million in the fourth quarter, down approximately $2.3 million from the prior quarter. I should note that the current quarter included approximately $1.6 million of acquisition-related expense items, compared to a total of $2.6 million in the prior quarter. I’ll talk about a few of the categories with most significant changes now. The base salaries and employee benefit expense category decreased approximately $1.7 million in the fourth quarter from the third quarter of last year. The decline was due to a variety of factors, including lower commissions related to the mortgage banking production; a higher amount of salary deferrals related to loan origination cost, which reduces salary expense; and a reduction in costs related to deferred compensation plans impacted by the market returns on the BOLI plans, which I just discussed earlier in the non-interest income discussion. These declines are partially offset by additional expense related to normal staffing growth, as the company continues to expand and an increase in payroll taxes associated with incentive compensation awards paid during the quarter. Marketing expenses decreased by approximately $1.7 million from the third quarter of 2018 to $9.4 million. And as we have discussed on prior calls, those category expenses tends to be lower in the fourth and the first quarters of the year, as our corporate sponsorship spending is more heavily geared towards the middle two quarters of the year. As I discussed in regard to the operating leases in the non-interest income section, the company experienced a corresponding increase in depreciation expense related to operating leases due to growth in that portfolio. This category of expenses increased $1.1 million in the fourth quarter compared to the prior quarter. Again, we expect this category expense to grow at a similar rate to the revenue side of the portfolio of operating leases, as the portfolio of operating leases continues to expand. This is actually a category you’re happy to see grow the expenses, because it reflects that we’re having increased revenue associated with that. If we group all the other expense categories together other than the three that I just discussed, the remaining non-interest expenses were essentially flat on an aggregate basis being up approximately $54,000 in the fourth quarter compared to the prior quarter. So I won’t spend much time on those since the pluses and the minuses offset and nothing real significant to discuss there. And so with that, I’ll conclude my comments and throw it back over to Ed.
Edward Joseph Wehmer: Thanks, Dave. As usual, clear as a mud. Thank you.
David Dykstra: I always try to help the cause.
Edward Joseph Wehmer: Thank you. Despite the fourth quarter hiccup, 2018 was an extremely good year for Wintrust, as evidenced by another record year of earnings, EPS and balance sheet growth. Although aided by reduced taxes, I’ll remind you again, the pre-tax income for the year was up, in and of itself 18%. For those of you who’ve been following us for a long period of time, you should know what our goals are. Double-digit earnings growth, exemplary credit metrics and a fortress balance sheet are tops on that list of goals. To that end, year-end is a kind of nice place to take a look back over the last five years and see how we have delivered. For those last five years, net income growth, five-year CAGR is 20%; asset five-year CAGR – asset growth, five-year CAGR 12%; loan growth, five-year CAGR 13%; deposit growth, five-year CAGR 12%; NPAs as a percent of assets to five-year average is 0.52%; net charge-offs for the five-year average is 12 basis points a year. Based on the above, be hard-pressed to say we’re not achieving our goals, not just this year, but over a much longer period of time. Hopefully, this buys us some credibility in the market. But history is just to have history. That’s why we – at Wintrust, we have a mascot. It’s the Greek god Sisyphus. Those of you who aren’t familiar in your Greek mythology, Sisyphus was condemned by the gods to put a rock up a hill every day. At the end of the day, the rock would fall down the hill, he had to push it back up again. Just like him, every December 31, that rock rolls back down the hill and we’re fated with having to push it back up again. And the rock is always bigger and the slope is always steeper. But we’d take that – we’d relish that challenge. We’re looking forward to 2019 with a great deal of confidence that we can again deliver on our goals. We’re well-positioned for the first quarter in particular and beyond. The CDEC acquisition should aid in keeping our interest cost of funds intact. Q1 2019 will be the first full quarter in the effects of these low-cost deposits on earnings and we’re embarking on growing that business. The AEB acquisition should be accretive in year one, should be accretive in the first quarter. We started the year with $650 million head start on loans, as ending balances exceeded quarterly averages by that amount. Loan pipelines remain consistently strong, we’re booking loans on our terms. Although non-bank competition is becoming more and more aggressive, our brand and market disruption is helping us to continue to gain market share. The situation warrants, however, that is our circuit breakers, our pricing policies or loan policies, trip, we’ll not be afraid to stop the Board as we have in the past. As of now, we see no reason to do this. The exceptions in our portfolio, which we monitor monthly remained consistent for the last three years, both our new deals and in the overall portfolio and our pricing is holding up, as well as can be expected. We expect the margin to grow modestly in 2019 assuming a consistent rate environment, but nicely. Credit metrics remained strong. However, we’ll continue the call the portfolio for any – at all cracks and active relationships where said cracks were found. We’ll always remember the old adage, your first loss is your best loss. Let’s not try to kick the can down the road. It takes a full-year for short-term interest rates to work their way through our asset base. December increases is really yet to be seen in our numbers and other increases in 2018 – that we experienced in 2018 are still working their way through the system. This bodes well for the margin. Wealth management should continue at a slow and steady climb. In 2018, we opened 10 branches and we have the same number untapped for 2019. Pretty much all of the 2018 branches are performing ahead of plan and we expect the same for the ones opening this year. A lot of the ones opening this year will be in Naples, Florida believe it or not, that is going to open in the first part of February as a small convenience branch. But when you look at the numbers of our Illinois refugees in Florida now and our name recognition and we’re not expecting much out of this, but I think it’s going to be a lot better than we anticipated. We completed two more bank acquisitions in 2018 as well as CDEC. Those trust like pricing for banks and our asset – and our desired asset range are becoming more reasonable. As such, our lending patterns have remained full, but gestation periods remained slow. You can be assured of our consistent conservative approach to deals. The lower 10 rate, although hurtful in Q4, should have volumes in the upcoming spring buying season in the mortgage business. We continue with our cost-cutting and efficiency moves in this business, many of which will be operational by mid-year. As a community bank, we remain committed to the mortgage business. We are committed to achieving that overhead ratio of 1.5% or better. However, as we are mandated to prepare our platform to become a $50 billion asset bank, you can all wonder who – you don’t have to wonder who that mandate came from. Achieving that number at year-end may be hard, a number in the mid-150s is our short-term goal. In short, we’re proud of what we have built over the last 27 years and approach 2019 with great deal of confidence. As always, you can be assured of our best efforts and we appreciate your support. And now we can turn it over for some questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Jon Arfstrom with RBC Capital Markets. Your line is open.
Jon Arfstrom: Thanks. Good morning.
Edward Joseph Wehmer: Good morning, Jon.
Jon Arfstrom: A couple of questions here. The CDEC deposits, you talked about $1 billion on your balance sheet and maybe, I think, $1.3 billion or $1.4 billion off the balance sheet.
Edward Joseph Wehmer: Yes.
Jon Arfstrom: What’s the plan with the off balance sheet piece of that?
Edward Joseph Wehmer: Well, we’ve got a nice fee on that, that will run through fee income. We don’t want to get overly reliant on this. You’ll probably see what we’re going to do is look at the 12-month rolling averages, because it does go up and down somewhat seasonal for people too to get things done in calendar years or quarters. We’ll probably maintain the one year, either the max that they have on their books or the one year rolling average. And the rest, we will be – we will place with other banks and receive the fee on it. Does that makes sense?
Jon Arfstrom: Yes, yes, that makes sense. And the general message on loan yields, it sounds like, based on your very last comment there, that your expectation is loan yields can continue to rise modestly?
Edward Joseph Wehmer: Well, because of the structure of the balance sheet, yes…
Jon Arfstrom: Yes.
Edward Joseph Wehmer: …and the rate rises continue to work their way through. So we would expect that to occur. We would hope that it’s kind of a weird environment outlook. We’d hope to be able to mute our deposit cost – our core deposit cost notwithstanding the effect of CDEC’s replacement of higher cost funds, but to maintain those relatively low. So we’ll see, that’s the plan at least.
Jon Arfstrom: Yes, okay. And then just on mortgage, I know this is tougher, maybe it’s for you, Dave. But you talked about pipelines being consistent, maybe margins being down last quarter. You’re also talking about some seasonality. And I guess, we didn’t touch on efficiency opportunities. So just kind of can you unpack mortgage for us a little bit in terms of how we should be thinking about Q1 and then headed into Q2 on mortgage?
David Dykstra: Well, heading into 2Q, we had expected it to increase as the seasonality factors go away. We certainly don’t have those pipelines in place yet, because we – from the application to closing is generally in the 40-day or less range. So…
Jon Arfstrom: Yes.
David Dykstra: We’re not getting applications yet for the second quarter, but we would expect that to be the pick up in strength. First quarter, we would expect that the Veterans First consumer direct platform would stay relatively stable. They don’t have quite as much seasonality, because they’re not focused in Midwest like our retail channel is. So we would expect there to continue to be a little bit of pressure on the retail channel on the – in first quarter. And so that would be relatively stable, maybe down a little bit. Correspondent business would be relatively stable and Veterans First would be relatively stable. So that, that would be our thoughts. Our Veterans First tends to have a little bit higher gain on sale margin, because it’s government products than the other two channels. But when volumes go down, margins tend to get compressed, because you have so many people competing for a much smaller pie. Yes, and so that’s where the compression is coming just the competition out there right now.
Edward Joseph Wehmer: Interestingly, now, Jon, on the competition side, we’re seeing a great deal of stress in our competition. We believe that the long-awaited consolidation will be taking place. We know some firms are merging, some are going out of business, some in the markets now, which should bodes well for us both in terms of recruitment and less competition in the area. On the efficiency front, we’re doing a number of things. One of which could be pretty interesting by midyear if all goes to plan. Our zoom mortgage, which is our Rocket Mortgage platform should be – we should be able to sort of marketing that online. So people can kind of like Rocket Mortgage. You still have a person available to work with you. But through that distribution, we can cut commissions probably by – in half or more if they come in – if applications come in that way. That’s the secret to this. So we’re still going to rely on that personal service. We’ll still going to rely on the mortgage reps. We’d like to tilt the balance to be more consumer direct and we’re in the process of proving out that concept. Focus groups have told us that our product is better than some of the major competition out there. Time will tell. Hopefully, by midyear, we can get that – sometime in the middle of the year, we’ll get that up and running and start marketing that, which could – that zoom also will cut – is cutting a couple of days off the front-end by doing a number of other efficiency moves and that we’re going to talk right now that should bring down our cost and our time to get loans done. So I know some people say, why should you be in mortgage? Well, a community bank, we got to be in mortgage. Mortgage is notwithstanding even including the fourth quarter was profitable for us for the year in a nice way. And it’s something we believe that you got to take the good with the bad, write it out. Interestingly enough the – we were having discussions about hedging our own mortgage service pipeline in the fourth quarter. Greedy Ed thought rates for the long end was going to continue to go up and schedule it for the first quarter. So that one is on me. I screwed that one up. Hard to believe, I screwed something up right, Dave?
David Dykstra: Very hard to believe, yes.
Edward Joseph Wehmer: Thank you, Dave. But we are looking at that Board. But we’re refining this business and we think it’s going to be a good steady business for us going forward. We’d like to take the volatility out, but – and we’ll work to do that when the time is right. Obviously, it was right and I screwed it up, but other that, we’re okay.
Jon Arfstrom: Yes, okay. All right. Thanks for the help, guys.
Operator: Thank you. Our next question comes from Brad Milsaps with Sandler O’Neill. Your line is open.
Brad Milsaps: Hey, good morning, guys.
Edward Joseph Wehmer: Hi, Brad.
Brad Milsaps: Yes, I just wanted to follow-up on the NIM discussion and maybe to size the balance sheet as it relates to that – to the CDEC deposits. I guess, maybe initially, I thought that you would use that funding to sort of grow the overall size in the balance sheet, but smartly so you guys opted to pay off some higher cost deposit. As you think about funding your $2 billion-ish of loan growth this year, I assume you want to do that with core. Do you bring back some of the more wholesale sources to lever up into the bond book if rates behave the way you want them to. Just kind of want to get a sense of kind of what you’re thinking in terms of size of the balance sheet and how best to deploy that liquidity going forward?
Edward Joseph Wehmer: Well, we – our prospects for loan growth are consistent with prior years. So we need to be able to bring deposits in to do that. We work very hard to develop a diverse deposit base, but for the most part core. We only use the brokerage stuff when we have to or to control our asset liability management, so our interest rate sensitivity. The $700 million that we paid off was brought on was longer-term deposits. When we took on about approximately the same amount of franchise loans, when we bought those from GE, we had a fund that right away. Now we consider these CDEC to be core, and we really don’t want to have a lot of reliance on institutional funds. Now it’s nice to have them there. We basically have brought those numbers down significantly to hardly to almost 3% or 4% for total deposits, we have that available should the market feel warrants. So it’s nice having that capacity available to growth it from rates get too free or we find it hard to some reason to grow organically. If you look at Wintrust over the years, we grew organically for a long period of time. We got into acquisitions and now we’re back to filling out the franchise and growing organically. Most of the growth this year was organic. We feel pretty good about our ability to do that. Our branches are performing better than we experienced. But we think that, the deposit side of our balance sheet is really our franchise value, those core deposits and we’re going to stick to trying to grow those. That lever up unless there’s some situation where we can plan arbitrage in someplace and make us a lot of money. We don’t see that happening with the flat yield curve, but it’s nice to have that have in our back pocket in the event that will occur. So in short, we like core deposits. We’re going to continue to grow core deposits and continue to fill out the franchise, where we can grow without the commensurate increase in expenses and be very, very flexible. That’s – it’s hard to believe. I like to be flexible, I wish I could be personally. But we will certainly be in – on the business side.
Brad Milsaps: So in summary, basically adding the excess $1 billion – above the $2 billion that you need for loan growth is, you just want to be flexible. It’s really going to depend on kind of what the yield curve gives you?
Edward Joseph Wehmer: Yes. We want to be conservative. We make – we obviously don’t make as much as we make on – in the margin on taking all the CDEC money in. But you don’t want to rely on it too much, and then you find yourself get whipsawed and what do you do. So we’re going to be conservative. We make good money. It was a great deal for us to have wonderful people. They have a great market presence that we think we can enhance. So we’re excited about those prospects, and we just don’t – we want to get the – know the business better before we get out over our skies and have a funding issue that we have to deal with later.
Brad Milsaps: And Dave, I don’t know if you can look at it this way. But I know you mentioned there was a huge impact to the CDEC in the fourth quarter. But would the December margin be appreciably higher than say, the October margin?
David Dykstra: Yes. So December margin was higher than the October margin. It was actually higher than our ending margin. That’s why we believe that the marginal increase in the first quarter and we gave that guidance.
Brad Milsaps: Got it. Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from Kevin Reevey with D.A. Davidson. Your line is open.
Kevin Reevey: Good morning.
Edward Joseph Wehmer: Hello, Kevin.
Kevin Reevey: How are you?
Edward Joseph Wehmer: Living with dream every day my friend, every day. Looking forward [Multiple Speakers]
Kevin Reevey: Yes. So my question relates to core operating expenses. I’m coming up for the fourth quarter roughly with a number around $210 million. Is that kind of a good number to use going forward, you’re assuming modest rate of inflation and obviously you’ve got some other things going on? Is that kind of a good start?
Edward Joseph Wehmer: Kevin, we never really give guidance on the expense side, because it rules around quite a bit depending on what happens with the mortgage business. And as I mentioned, the marketing and advertising costs spike up a little bit in the second and third quarters. And – but the things that up and that could impact that again would be the commissions on the mortgages. We tend to give salary increases in the first quarter starting in February. So, roughly 3% is a plus or minus number that you can use on average starting in February, so that generally kicks in. The rest of it operating lease depreciation. Again, you can see on that category, it went up $1.19 this quarter, but that’s good, because we had more corresponding revenue come on with those balances. So we – because of all the moving parts, we really haven’t given a ton of guidance on that. But if you can look at the $1.6 million of acquisition-related expenses we had for the quarter, those were unusual, but the rest was sort of standard as far as variability goes.
Kevin Reevey: Okay. And then how should we think about the GAAP and the FTE tax rate for 2019?
David Dykstra: Well, I think what we – the guidance we gave before, I think, sort of the 26.5% plus or minus would be sort of where we would think it would fall other than the credit you get for one you have stock equity award grants. And you sometimes you get credits for that with the stock price is higher than what the award price was. And so we give those numbers in the press release and in our Qs as to what they were in the year. So you can look at that and make an estimate, I guess, depending on where you think the stock price is going to be. But it would be somewhat lower than that with those equity award credits that come through. But barring that, I would still think it would be in a sort of the 26.5% range.
Kevin Reevey: That’s helpful. Thank you.
Operator: Thank you. Our next question comes from Chris McGratty with KBW. Your line is open.
Christopher McGratty: Good morning. Thanks for the question. Dave, on the margin just want to come back to for a minute. The first quarter, it seems like a set up – pretty good set up from the deal and kind of the backhanded loan growth in the quarter. If the Fed doesn’t move anymore, can you speak to the kind of the trajectory of the margin, your comments on moderating deposit rate is interesting. Once you get that lift in Q1, what’s the outlook if the Fed doesn’t move anymore?
David Dykstra: Well, I mean, we show what our variable on the fixed rate loans are in the press release, you can kind of look at that. But there’s some tailwinds with the life portfolio that we have, the premium finance life portfolio we have. There’s approximately $4.5 billion of those loans that are tied to 12-month – generally tied to the 12-month LIBOR rates and those repriced once a year. So theoretically about one-twelfth of those reprice a year. So if the 12-month LIBOR doesn’t change, then we’ve got some tailwinds in that regard and we put a graph on page 20 of our press release that started to show us where that rate was a year ago and where it is now. So you get some benefit from that. Similarly, our $2.5 billion of property and casualty premium finance loans are fixed rate and generally have a nine-month life. So about one-ninth of that portfolio was repricing as they come due at a higher rate. So those two things had a little bit of tailwind. Deposit pricing, you still get a little bit of CD repricing out there as upward pressure. But if rates don’t move then, as Ed said, we think we can sort of hold the increases on the deposits elsewhere pretty well and then the mix change with the CDEC versus some of the wholesale funding should help. But what we’ve sort of seen in the marketplace is and I think it’s probably perception that people now believe that maybe the Fed may not raise. And so you’re seeing people get less aggressive on deposit pricings than you’re actually seeing the longer end wholesale brokered fund pricing back off a little bit. So it just seems like the marketplace is sort of taking a pause here waiting to see what’s going to happen and we’ll certainly pause along with it on the deposit side.
Christopher McGratty: Great. If I could sneak one more in on capital. You guys have historically been pretty shareholder-friendly. Given that move in stock in the group, can you speak to thoughts on a buyback whether it be standalone or kind of funded with some sort of alternative instrument? Thanks.
Edward Joseph Wehmer: Well, we always look at that, but we are a growth company. We’ve got to concentrate on our TCE ratios and the like. But it’s something we review all the time and maybe where the market goes, we’ll see where we end up. If we saw a period of rope-a-dope two coming on board, we’d probably raise a bunch of capital and buy – and wait to buy some stock back, I would imagine. But right now, we are still experiencing good growth and the acquisition market is strong. So it doesn’t seem to make a lot of sense now, but something we always look at and we’ll continue to look at, Dave?
David Dykstra: Yes. And one other thing is, I mean, if you look at our total capital ratio, which tends to be our limiting one where 11.6% at the end of the quarter, and that fell really because of the acquisitions and the associated goodwill that goes along with that. But generally, our earning are supporting our growth, but we generally wouldn’t want to fall into the lower 11s or high-10s. And so we don’t have that much excess capital. So to the extent that we thought that we wanted to enter into a stock buyback. We would probably have to raise some debt or preferred or something like that in order to accommodate the repurchase of it just, because we generally don’t like our total capital ratio to fall much lower than that.
Christopher McGratty: Got it. Thanks a lot.
Operator: Thank you. Our next question comes from Terry McEvoy with Stephens. Your line is open.
Terry McEvoy: Good morning.
Edward Joseph Wehmer: Good morning, Terry.
David Dykstra: Good morning, Terry.
Terry McEvoy: Just – Ed, your closing remarks, you finished with Wintrust crossing $50 billion and making some comments about the expenses this year, reflecting crossing that threshold, which cut me a little bit off guard given your $31 billion today, that’s about 50%, 60% increase from where we are. So maybe could you just expand a little bit on why 2019 you expect to start building up those expenses? Do you have any thoughts organically with the deal pipeline when that actually will happen? And just help us gauge the build up of those specific expenses and put some sort of timeframe around it as well?
Edward Joseph Wehmer: Sure. Well, this expectation was put on – it was probably a-year-and-a-half ago, and we’ve added – now we’ve added 110 people in IT for god’s sakes. We’re a growth company. And I’d like to say, we’re kind of like in puberty right now at quarter-end. We have to grow into our – in the overhead we put on. There’s still some work on – the regulators are pushing us because of it. They say, "You got to be ready and we’d like it to have $50 billion platform. We don’t – you say one of the expenses are coming, we’ve experienced probably more of them than we’d like already and some more coming. But we don’t – I can’t tell you we’re going to hit 50, I’m just saying what the expectations are. We have to have this platform ready. The referees – the regulators are the referees and all. I’m allowed to bump the ref. The other guys can yell at them, and only I can bump them. But we want to have good relationships with them. All in all, we’re making investments in the business that allow us to get there. So we need to grow into our clothes. We intend to grow consistently like we have in previous years. We don’t intend to look at very large acquisitions. We never know what comes along. It’s business as usual for us, which would get us there, feel good that way and nothing would have changed. We’ll get to there in five years probably. But that’s what’s expected of us. And we need to grow into it from – to get that overhead ratio where we wanted. So I was just being open with you that 1.50% [ph] is kind of hard to reach when we have to go to a committee and committees now to figure out what else is going on. But we put the infrastructure in place, we’re very happy with it. Everybody is happy with it, and there will be some more additions we want to bring, we’ll need to bring out over the next year-and-a-half or two years to make everybody happy with it if you follow my drift.
Terry McEvoy: Great. I appreciate that. And then just as a follow-up. The premium finance commercial business was up 8% last year and the life side was up 13%. Is that a reasonable growth outlook kind of 8% to 10% for 2019 for those two specific lines of business?
David Dykstra: I mean, generally, we think of our loan portfolio growing in the high single digits and generally, we like those to sort of grow in concert with the total balance sheet. P&C could get a little bit better boost. I mean, the market is hardening just slightly in certain areas. But the fact that some – there were some regulatory relief on collecting tax ID numbers and certain sort of know your customer rules out there for the premium finance business that were implemented late last year. We lost a fair amount of business over the last couple of years, because we had to collect those TIN numbers whereas some of our competitors didn’t. We hope to gain some of that back and we already are starting to gain some of that back. But it takes time, because these customers buy annual policies and they only come up once a year. So there could be a little bit of tailwind in that regard. And, of course, we always want to grow it. But I would think that those would be reasonable expectations, maybe the P&C could be a little bit higher depending on the market hardening aspects that may occur during the year and how well we do on regaining some of that lost business we have because of the unleveled regulatory playing field.
Edward Joseph Wehmer: Now on the life side, I think the law of large numbers will catch up with us eventually. You might – if I had to guess, probability-wise, it’s probably more probably that the P&C business will be up more on a percentage basis than the life business.
Terry McEvoy: Great. Thank you, both.
David Dykstra: Thank you.
Operator: Thank you. Our next question comes from David Long with Raymond James. Your line is open.
David Long: Good morning, gentlemen.
Edward Joseph Wehmer: Hello, David. How did you like our double going than the quarter? [Multiple Speakers]
David Long: Well, I was hoping for another Vegas vacation comment, which did not happen. So maybe we’ll go back to that next quarter.
Edward Joseph Wehmer: Those of you who don’t know was our Bears kicker hitting the upright on the crossfire that lose the game. It’s known as double doink in Chicago.
David Long: Yes, it is.
Edward Joseph Wehmer: Our double doink.
David Long: Yes. I prefer to get back to another quarter, another record. So that said, following up on Terry’s comments about the premium finance business. My sense has always been that those there are more repricings happen early in the year on both the life and the commercial side. Is that the right way to think about it?
Edward Joseph Wehmer: No. We – the business fluctuates a little bit as far as volumes go, because a lot of people have policies that renew in December and generally, the loans flow through in January. So January tends to be a large month and July, because the other high quarter-end month is June. So the quarter ends tend to be a little bit higher, but not so dramatically that that it would change the landscape as far as the rate environment too much.
David Long: Got it. And then you talked a little bit about deposit competition maybe easing to some extent. And I have not seen as many piece of rates, if you will, or the 2.5%, 3% rates on deposits on some of the mailers going out. Where do you guys stand on some of these promotional deposit yields that you have previously focused on?
Edward Joseph Wehmer: Well, we opened a new branch. We still use them. We opened 10 last year. We’ll open 10 – scheduled to open 10 this year. We will be using them at those locations. But again though, then we take those taper off when the – as time goes by. And most – half the ones we did last year are tapered already. So I would expect there to be some hiccup there or increase there. But as a percentage of our total deposits, it becomes less and less. But we agree with you. There’s not as many silly things going on in the market right now. I think people are taking a breath. We had great loan growth because of our diversification in the quarter. I don’t think you’re seeing that in the smaller banks and other places right now. And if they get off of the fund, they’re not going to get paid that kind of money. So, yes, I believe the competitive environment for deposits is taking a breather, as Dave said.
David Long: Got it. That’s all I had. Thanks, guys.
Edward Joseph Wehmer: Thanks.
Operator: Thank you. [Operator Instructions] I’d now like to – our next question comes from Nathan Race with Piper Jaffray. Your line is open.
Nathan Race: Hey, guys, good morning.
Edward Joseph Wehmer: Good morning, Nathan.
Nathan Race: Going back to the discussion around CDEC. Dave, just wanted to get paint a little more color around what the specific fee income and non-interest expense impact we should expect in 1Q as you guys get the full quarter impact of that deal?
David Dykstra: Yes. We haven’t disclosed that yet. So I – and it sort of depends on the volume of deposits and that’s what they can throw up and down. So I think we’ll take a pass on giving you that information until we left first quarter go.
Nathan Race: Okay, it sounds good. And then just maybe a broader question for Ed. There has been a lot of M&A in Chicago not only in the last year, but in the last few years. So just curious as you kind of sit here today, how you kind of – if you’re more or less optimistic on loan and deposit growth opportunities into 2019 than maybe you would have thought 12 months ago?
Edward Joseph Wehmer: On the acquisition front, I think I said in my comments that it’s actually, the pricing expectations are coming down a bit. I think, especially in the under $1 billion banks, which is what we focus on, I think, they’re all getting a little worried that they want to get out now before the next wave hits. We don’t see that next wave yet, but as always is one and their expectations should come back a little bit. So we believe that with the acquisition front to be very interesting this year. On the organic loan and deposit growth, we talked a little bit about premium finance, where we think that’s going. But again, our loan pipelines are as strong as they’ve ever been and our ability to book these loans on our terms is holding up, as I mentioned, our critical exceptions is both a percent of new deals and in the portfolio just exceptions in general and the portfolio in total has been relatively consistent and a little bit trending down over the last two quarters. So we are able to get deals on our terms. And again, we’ve always been an asset-driven company. If the assets dry up, we’re not going to go out and raise a bunch of deposits. We’ll hunker down and wait for the – for everything to hit the fan and hopefully clean up again. So things – there’s some disruption in the market with our neighbor over here striking to close pretty soon, that always is good for us. So we like where we sit right now. But at the end the first quarter I might not like what I said. We’ll see where it goes. Most of the competition is not coming from banks, it’s coming from non-banks at least the pricing and the leverage in term side is getting a little bit goofy out there. But that being said, our reputation plus the turmoil in the market is okay right now. It is really – our pipelines remained strong. So we feel pretty good about where we are.
Nathan Race: Yes, that’s a great color. I appreciate you guys taking the questions.
Operator: Thank you. Our next question comes from Brock Vanderbilt with UBS. Your line is open.
Brock Vanderbilt: Hey, good morning, guys. Could – can we just go back to the mortgage business. Ed, it sounded like you made the call not to hedge the pipeline. Going forward, is that going to be hedged – is the pipeline going to be hedged as a matter of course, or are you going to reevaluate every quarter?
Edward Joseph Wehmer: We’ll reevaluate every quarter.
David Dykstra: And it’s the servicing portfolio, not – we do hedge sort of most of our pipeline. So it’s just the servicing portfolio that we’re referring to as a hedge.
Brock Vanderbilt: Okay. Well, that was my next question, whether you hedge the MSR? And your MSR capitalized values basically doubled – more than doubled in the last year. Is that – that’s not hedged at the moment?
David Dykstra: Right.
Edward Joseph Wehmer: Yes. That’s what I was referring to was that, we – our pipeline, we do hedge and that works fine for us. But I sometimes made the call that something we would do in the first quarter. If you recall, the tenure got up very nicely during the fourth quarter before it tumbled and it appeared that was going to be consistent. And my call was to say that’s something we’re going to look at it in the first quarter and started legging into it then fell off again, so now we are reevaluating. Did that makes sense?
Brock Vanderbilt: It does. I know, MSR marks a bitten many banks over time. I’m little – just a little surprised with it growing. You’re not just going to hedge out that exposure or large portion of it?
Edward Joseph Wehmer: Well, it is growing over time and we are looking at it. So it was something that was a nice run up for us. It was my fault. I should have looked at it and then while conservative it is something we’re looking at now and we’ll get back on it. But I’ll fall in the grenades for that one. But I think I made enough money beyond the other stuff I think.
David Dykstra: Yes. In reality, Brock, if you look at it, the MSR valuations were almost flat for the year. I mean, we had gains in the first three quarters and I gave it all back at the end. So on an annual basis, it was somewhat flat. But if your viewpoint is that you think rates are going to rise a little bit, you could ride up that value and then hedge it in. And we just felt that the long end would not tumble like it did. So – and it’s come back a little bit since the end of the year. So you could see some pickup in those MSRs or not even near the end of the quarter yet and with the volatility we saw in the fourth quarter, who knows. But we have a heading strategy in place and we’ll evaluate it. It’s just the timing of when you implement it.
Brock Vanderbilt: Okay. Fair enough. And just as a quick follow-up, what would be your general sense of – can you give us any sense of 2019 volumes assuming say, no further hikes in your mortgage business. Is that kind of flat or up small or?
Edward Joseph Wehmer: I would say flat.
David Dykstra: I’d say, generally flat.
Brock Vanderbilt: Flat assuming no hikes. Okay, thank you.
Operator: Thank you. Our next question comes from Michael Young with SunTrust. Your line is open.
Michael Young: Hey, good morning. Just wanted to touch really quickly on the loan-to-deposit ratio. You guys have done a nice job of bringing that down from kind of 95% at the beginning of 2018 and we’re almost to kind of the high-end of the range here headed into 2019 of the 85% to 90% that you guys are targeting. Any color on kind of where you feel like that will trend or what you’re watching in terms of being able to bring that lower throughout the year?
Edward Joseph Wehmer: Yes. Well, our goal is still the 85% to 90%. And you could – we could have easily been there had we not get rid of the brokered funds here in the fourth quarter when we brought CDEC on, so we could have just grown that. But with a long end coming down, there really was no place to put those funds, so we elected to use those funds to get rid of some of the higher-priced wholesale brokered and Federal Home Loan Bank funding that we had. So we still have the goal to just gradually bring that down. And if the market – if the long end would go up, you – as Ed said, you could potentially lever and get there right away But in the interim, we hope to just gradually continue to bring that down into the 90% to – 85% to 90% range in 2019. But we’ll just have to see what happens to the yield curve and how fast you do that. You don’t want to rise all the deposits and have no place to go with them. So we’ll monitor the curve and go from there.
Michael Young: And just wanted to follow-up on the comments that you guys started to kind of ladder back out sometime this quarter and kind of last quarter. Any chance that the covered call income is going to take up here in 2019, or is that still likely going to be steady at kind of this lower run rate?
Edward Joseph Wehmer: No. We write them on some of the securities. So generally, you get more covered call when rates are going down, because people pay you more for those. With the thought that the rates may be relatively flat to – at this point on the long end to going up, you don’t get that much and you can see that we have some of our securities called away. We’ll reinvest those and – but that’s sort of typical. So, I wouldn’t expect too much difference in that. It just really sort of depends on what the market perception is, where rates are going, what the volatility is – to be in the quarter when we write those, but probably not dramatically different.
Michael Young: Okay, thanks.
Operator: Thank you. I’m showing no further questions at this time. I’d like to turn the call back over to Ed Wehmer for closing remarks.
Edward Joseph Wehmer: Thanks, everybody, for dialing in. Put the double doink quarter behind us and we’re going to look forward to a very good first quarter hopefully, knock on wood and talk to you again in April. If you have any additional questions or follow-ups, feel free to call Dave Stoehr, Dave Dykstra and myself, happy to talk to you. Talk to you later when pitchers and catchers are in. Thanks. Bye.
Operator: Ladies and gentlemen, this concludes today’s conference. Thanks for your participation. Have a wonderful day.